Operator: Good afternoon. I’d like to welcome everyone to the Delek U.S. Holdings Second Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Keith Johnson; you may begin your conference.
Keith Johnson: Thank you, Ian. Good morning. I would like to thank everyone for joining us on today’s conference call and webcast to discuss Delek U.S. Holdings’ second quarter financial results. Joining me on today’s call will be Uzi Yemin, our Chairman, President and CEO; Assi Ginzburg, our CFO; Fred Green, our Executive VP and President of Refining; Danny Norris, our CAO as well as other members of our management team. As a reminder, this conference call may contain forward-looking statements, as that term is defined under Federal Securities laws. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify our forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise. Today’s call is being recorded and will be available for replay beginning today and ending November 4th by dialing 855-859-2056 with the confirmation ID number 69603058. An online replay may also be accessed for the next 90 days at the company’s website at delekus.com. Last night, we distributed a press release that provided a summary of our second quarter results. This press release is available on our corporate website and through various news outlets. On today’s call, Assi will begin with a few opening remarks on financial performance for the quarter. Danny will cover additional financial details before turning it over to Fred, to discuss the refining segment. Then Uzi will offer a few closing strategic comments. With that, I’ll turn the call over to Assi.
Assi Ginzburg: Thank you, Keith. During the second quarter of 2015, we benefited from the completion of our expansion project at Tyler, Texas refinery in March and we closed the Alon transaction in May. Equity income for the 48 days period full Alon transaction was approximately $9.2 million on a pretax basis, which was reduced by $1.7 million of depreciation expense for net of $7.5 million. Also our interest cost was increased by approximately $6.2 million for the transaction, including a $3.9 million of one-time expense related to the financing cost. We ended the second quarter with $380 million of cash on a consolidated basis and $595 million of net debt. Excluding debt and cash at Delek Logistics we had a net cash position of $277 million at Delek U.S. By using combination of debt and equity for the Alon transaction we have been able to maintain a conservative financial position. Now I will turn it to Danny to discuss additional financial details.
Danny Norris: Thank you, Assi. For the second quarter of 2015, Delek U.S. reported a net income of $48.3 million or $0.79 per diluted share. This compares to net income of $54.9 million or $0.92 per diluted share in the second quarter last year. During the second quarter 2015, we incurred $15.3 million hedging loss, which included $13.4 million of unrealized hedging losses. In additional there was approximately $1.3 million of accelerated depreciation associated with disposable of equipment at Tyler related to the turnaround. There was approximately $4.2 million of expenses that related primarily to environmental remediation cost which reduced its results during period in the refining segment. Including the one-time interest expense and unrealized hedging losses these costs more than offset a net gain of $19 million related to inventory adjustments which follows losses of $20.8 million in the first quarter this year. As part of our inventory management strategy we increased crude oil and product inventory during the first quarter of this during a period of lower prices. During the second quarter of 2015, we reduced inventory by approximately 1.2 million barrels which consisted primarily a crude oil during a period of rising prices, which was a portion of the net inventory gain during the period. General and administrative expenses increased to $34.3 million in the second quarter of 2015, compared to $30 million in the prior year period. This increase was primarily due to employee related expenses. Depreciation and amortization expense was $34.9 million in the second quarter of 2015, compared to $28.2 million in the second quarter of 2014. This increase was primarily due to capital spending related to the Tyler turnaround and expansion project. As mentioned earlier, second quarter 2015 includes one-time accelerated depreciation. Finally, our income tax rate excluding the non-controlling interest income associated with Delek Logistics of $6.8 million was 23.8% in the second quarter of this year. We expect the income tax rate for 2015 to be 28% to 30% excluding the non-controlling interest. This guidance for 2015 is lower than our previous of 35% to 36%. Turning now to capital spending, our capital expenditures during the period were approximately $47.7 million, compared to $39.1 million in the second quarter of last year. During the second quarter of 2015, we spent $38.2 million in our refining segment, $6 million in our logistics segment, $2.2 million in our retail segment and $1.3 million at the corporate level. Our 2015 capital expenditures are forecast to be approximately $240 million. This amount includes $173 million in our refining segment, $20 million in our logistics segment, $24 million in our retail segment and $23 million at the corporate level. This is an increase from approximately $226 million in our previous 2015 forecast, which is primarily driven by plans to build six new large format stores in the second half of this year. Now I would like to discuss our results by segment. A combination of factors decreased our refining segment contribution margin to $112 million during the second quarter of this year from approximately $123 million in the prior year period. First, the differential between Midland and Cushing narrowed on a year-over-year basis. Second a $15.2 million loss from hedging activity was incurred during the second quarter of this year compared to an $8.5 million gain in the prior year period. In the prior year period the contribution margin in El Dorado was reduced by before tax $22.6 million one-time non-cash expense related to the financial settlement of the restated supply and off take agreement with J Aron. The discount between Midland and Cushing WTI which averaged $0.60 per barrel in the second quarter of this year narrowed from $8.37 per barrel in the prior year period. This change was partially offset by crude oil futures market that was in contango in the second quarter of this by $1.77 per barrel compared to backwardation of $0.92 per barrel in the second quarter of last year. The Gulf Coast 5-3-2 crack spread averaged $18.60 per barrel in the second quarter of this year compared to $17.10 per barrel in the prior year period. Now I would like to review our logistic segment, which is comprised of the results from Delek Logistics Partners. Our logistics segment contribution margin was $28.8 million in the second quarter, 2015, compared to $30.1 million in the second quarter of last year. Results benefited from fees associated with the El Dorado, rail offloading rack and the Tyler crude oil storage tanks dropped down on March 31, 2015. Acquisitions completed over the past year at a higher contribution margin from the Paline Pipeline compared to the second quarter of last year. These benefits in the second quarter of 2015 were offset by lower margin in the West Texas wholesale business. Moving on to the retail segment. Retails contribution margin was $14.3 million in the first quarter of 2015, compared to $16.7 million in the second quarter of 2014. This change was primarily due to lower fuel margins and higher operating expenses partially offset by higher gallon sold at retail sales. Our same store fuel gallon sold increased 2.6% primarily due to improvement in our large format store category on a year-over-year basis. We ended the quarter with 64 large format stores out of our total store count of 360. I will not turn the call over to Fred to review initiatives in our refining segment.
Fred Green: Thank you, Danny. Our El Dorado Refinery processed approximately 74,500 barrels per day of mostly light crude and our asphalt yield was 10% during the first quarter 2015. This compares to approximately 79,000 barrels per day of crude in the second quarter of 2014. On a year-over-year basis we increased sales volume to $87,600 barrels per day in the second quarter which is a new quarterly record for the refinery from 85,800 barrels per day in the second quarter last year. With the July 215 startup of the Exxon North Line there was reversed from Longview, Texas to Finney, Louisiana, El Dorado should now have additional access to Cushing supplied crude by utilizing the existing Delek Logistics systems. At Tyler we processed approximately 69,700 barrels per day of crude compared to approximately 58,000 per day in the second quarter of last year. During the second while the refinery demonstrated 75,000 barrels per day of capacity as expected we matched our operating rate to commercial command as we began supplying following the turnaround in the first quarter. Following this transition during July the refinery operated near capacity. On a combined basis, our refining system operating expense was approximately $4 per barrel. We benefited from increased production at Tyler and continue to be focused on reducing this to below $4 per barrel in the future. Now, I’ll turn the call over to Uzi for his closing remarks.
Uzi Yemin: Thank you, Fred. We took and exciting step forward in our growth plan with the acquisition of 48% of Alon USA from Alon Israel in May. We believe that the assets fit well strategically and geographically with our existing footprint and look forward to working with the Alon USA board and management to create additional value in the future. Our crude sourcing flexibility improved at El Dorado would access to the recently reversed Exxon North Line. In addition, more progress on our joint venture pipeline project at Delek Logistics, which are expected to be completed by mid-year 2016. These projects in West Texas and in Longview are expected to further improve and enhance our refining system crude access. With the large investment program in refining behind us, our capital expenditures needs are expected to decline in the coming quarters to a base maintenance level of less than $100 million per year. Our efforts are focused on allocating our capital to continue to grow. Acquisitions remain a priority, as shown by our Alon USA transaction, also we believe that the acquisition environment in the logistics area have been improving with the change in commodity prices and valuation, and we are continuing to explore opportunities. Our conservative financial position should allow us to support our growth initiative while continue to return cash to our shareholders. With that, Ian, would you please open the call for questions.
Operator: [Operator Instructions] And your first question comes from Brad Heffern with RBC Capital Markets. Please go ahead.
Brad Heffern: Good morning or afternoon.
Uzi Yemin: Good morning.
Brad Heffern: I was curious on Alon, you’ve been through basically through the first earnings and Board cycle. How have things looked with your due diligence so far and what are your updated thoughts on the remaining 52% of the company that you don’t own?
Uzi Yemin: Well, first of all let me tell you that we are very pleased with our acquisition of the 48% obviously Alon reported this morning a very good results and we are very pleased with the performance of both the company as well the reaction that we got from the capital market or the players in the capital market. The remaining 52% is a matter of locating the right resources to the right buckets. Obviously and we said it before in the past, we are not in the business of holding 48% in a company. However, it depends on valuation. It depends on synergies and the fact how fast we can move forward with these initiatives. And let me share with you obviously something that in fact from the past, while we moved very quickly on the 48% and it took us six weeks to negotiate with Alon Israel. When we thought that the valuation wasn’t there with El Dorado refinery, we waited almost four years until we completed the entire transaction. So, we are willing to move as quickly as needed in a matter of week in matters of weeks or day, at the same time we are very patient long time investors and we look to maximize value for our shareholders. So I know that this is not exactly what you want to hear, but we’ll continue to look at the different options.
Brad Heffern: That’s correct. Thank you, Uzi. And then thinking about the obvious spread question, how do you see Midland playing out, do you subscribed to the thinking that its increasingly going to be connected to the Gulf Coast pricing, and are you going to be doing more and more things like you’ve just done at El Dorado to potentially get more Cushing crude or crude that can potentially end up being cheaper than Midland through the date? Thanks.
Uzi Yemin: Well, Cushing is cheaper than Midland today as much – that was recorded when prices were $15 discount, I told everybody don’t get excited. That’s not the right number. We believe – I believe personally that is whatever or that premium $0.80over is not sustainable. The market moved very quickly from minus 15 to plus 80, eventually long term our benchmark if you will or our market expectation is that that number will go anywhere between $2 to $3, that’s how we build our model in the past and we didn’t changed our mind just yet.
Brad Heffern: Okay. And so what the thinking around getting Cushing optionality at El Dorado not related to the current Midland premium?
Uzi Yemin: Cushing is giving us another opportunity. Remember Midland and I’m not telling anything you don’t know. Midland is very light crude with tremendous amount of [Indiscernible] one of the colleagues will ask us about the reformer thing, because this is a new team. And Cushing will allow is to bring different types of crude we like to do so and fill up other units. So that’s the thought process behind that. Together with the fact that we don’t want to dependent on single source of crude especially as we want to grow our company to more than 155,000 barrels a day.
Brad Heffern: Okay. Thank you.
Operator: Our next question comes from the line of Doug Leggate with Bank of America. Your line is open.
Doug Leggate: Thanks. Good morning everybody. Could you quantify the impacts of the Exxon Line access in term of value and how you think it changes a good sourcing cost?
Uzi Yemin: That’s a great question. I don’t Mark, you take that one or do you want me to take.
Mark Smith: I can take it. So obviously we were until that line reverse we were trucking barrels over to the refinery, so that added increased cost there. So we see it as – it gives us access right now to probably as many barrel – extra barrels of advantage crude that we will like to do, because we are the only shipper currently on the line until they finish it out all the way down Baton Rouge. So we kind of shipping target is around 15,000 barrels a day and there’s a $1 to $2 savings on transportation on those barrel.
Doug Leggate: That would be relative to just all prior periods or is there kind of discount relative benchmark that you can give us that would help us reference that?
Mark Smith: I'd say relative to the last year or so. It eliminates also need for rail at El Dorado so as the rail cost in El Dorado were pretty high due to the manifest facilities. So it changes some mix from trucking light crude to pipeline and changes mix from rail to pipeline.
Doug Leggate: Okay. That's helpful. Maybe I'll go into the details with Keith. But thanks for the answer. Just on housekeeping point could you explain the asphalt comment on the quarter, I didn't quite understand the higher cost asphalt sales. I guess what I'm thinking as oil prices collapsed in the first quarter so how come asphalt was higher cost if you see what I mean?
Assi Ginzburg: This is Assi. How are you Doug? I'll start by saying that this is the impact of the way our counting works. At year end the price of asphalt was quite high, still hold it around $80 a barrel, I’ll talking net barrel value and we entered the year with the million barrels of asphalt priced at around $80, $85 a barrel. During the year we have build all the asphalt inventory that we be sold for the next six months. It's around $50 or below on a per barrel base in line with your expectation of crude prices. So what happened during the first six months of the year we sold 1 million barrels of asphalt roughly and we lost $35 million on it year-to-date that should be reversed and in the second half the year we should see and we already saw in July a benefit from $35 million because now we're going to run asphalt that came from inventory at prices of $50, or even if asphalt that was six on a books of $39 a barrel. So we see the asphalt market very strong for us in the third and fourth quarter. We already saw a testament in July and the asphalt prices are actually coming up as we get into the season while WTI prices are coming down. So, this should be a very big benefit for us for the second part of the year and big impact on the El Dorado realize margin.
Doug Leggate: Helpful, Assi. Thank you. Just one quick one from me, I can go back to very quickly. Given the uncertain timing on acquiring additional Alon shares you’d obviously coming into a significant period of free cash flow. So how should we think about your buyback times for Delek Tout in the interim and I’ll leave it there. Thanks.
Uzi Yemin: Great question Doug. We ask ourselves the same thing, because it's all our capital allocation and when we moved on our Alon, we felt that there was a tremendous amount of value in that and we moved very quickly on that. Two things change since then, first up for the collapse of the MLP market and obviously our share price was under pressure, we think because of the transaction. So, we need to take these three components and decide what to do with it. It doesn't mean that long-term we are 48% invested in another public Company, that's not our intent. But for the short-term and the medium-term this is capital location between what is the cheapest thing on the board.
Doug Leggate: Okay. Thanks so much Assi and Uzi. I appreciate your time. Thank you.
Uzi Yemin: Thank you, Doug.
Operator: And your next question comes from the line of Jeff Dietert with Simmons. Your line is open.
Jeff Dietert: Hello, everybody. Question for Fred. You've completed the Tyler expansion and have some experience with the performance there. Could you talk about what kind of throughput volumes you expect to achieve in the third quarter and are you achieving your increased gasoline and diesel production that you anticipated with the expansion in the FCC?
Fred Green: Yes. I'll take the second part first. From a performance perspective all the units have been revamped have demonstrated the capacities and the yields that we were looking for. I think we still have some opportunity to optimize the yields around our vacuum unit and BGO [ph] quality and also maybe some catalyst changing on the FCC to tweak the yields there. But we've been pretty pleased that the designs have worked as we expected and we've been able to achieve the run rates. With margins were they are I think we're planning to run as high capacity as we can for the quarter.
Jeff Dietert: Got you. Fred could you also talk about the octane shortage that we're seeing in the marketplace and how it impacts DK?
Fred Green: Sure. Like everybody else that's running the West Texas crude we're seeing a lot more naphtha light straight run materials. The one benefit that we have is that while Tyler’s in a 7.8 pound gasoline market the El Dorado refinery's in a nine pound market. So the bulk of the excess naphtha that we produce at Tyler we can actually moved to El Dorado on blended into gasoline and pushing up the pipe. So while we do see issues if we were standalone at Tyler, the El Dorado refinery allows us to mitigate all that affect.
Jeff Dietert: Thanks, Fred.
Fred Green: Thank you, Jeff.
Operator: And you next question comes from the line of Evan Calio from Morgan Stanley. Your line is open.
Evan Calio: Hi, good afternoon, guys. Let me try a follow-up on the Alon interest. Can you comment at all on the internal timeline that you're considering, I mean could this be another four years process like Lion and while you answered the buyback relationship does that potential deal also -- potential deal and related synergies and investment opportunities also stop you from doing anything on an acquisition perspective?
Uzi Yemin: You mean other acquisitions other than Alon.
Evan Calio: Yes.
Uzi Yemin: Okay. Well, let me take it one by one. I just gave a timeline of four years obviously four years is a long time. I shouldn't project that it's going to take four years, because I don't believe that it will take four years. However, we are a little surprised honestly with the behavior of the relationship between the two companies, while we are very, very, very happy with the performance of Alon and Chairman of Alon personally. They had great things about the company. We are a little surprised with the pressure that the market put on our evaluation. So while we're looking at the Board we say to ourselves, what is more important or how we can create more value for our shareholders or how should we behave in order to create the value. At the same time obviously I'm not going to quantify the synergies, but it’s no secret that there's a lot of synergies between the two companies. It's just not a secret. And anybody that has been in the business like you have been to understands that. So these are the things that we need to value and way as we look at the situation with Alon and I will leave it to that if that's okay with you. The second question is are there any other in the marketplace and there's absolutely yes especially in one area. And that one area is the MLP side, both MLPs and obviously the EMP [ph] side much better than I do. Everybody over there is on the tremendous amount of pressure. That means that there will or already starting to dump assets into the marketplace especially on the logistics asset because they believe that these are the most expensive assets or these are the most valuable assets. So, we are working keeping our eyes open in that regard and we feel good about our financial situation and the value that we can create for our Company and our shareholders.
Evan Calio: Do you think maybe bigger picture and following up, do you expect to share those synergies before given that it could idiosyncratically affect your valuation. For instance with Alon refineries and your refineries, you are the most regional purchasing power in the Permian, right, but there's clearly a potential to connect those assets developing MLP EBITDA for midstream and advantaging your refining margins. How do you think about that in terms of sharing with your shareholders some of those or quantifying some of those potential synergies? I'll leave it at that.
Uzi Yemin: Okay perfect. Again something that we need to consider and I don't want to get to legal here or too technical. These are two different public companies and in between there should be approval of both independent directors. And conflict committees for that [Indiscernible] done between the two companies. So it can be done. It can actually be done very quickly, but it needs to go through a process, a legal process that we need to introduce if we decide to do so. At this point there are -- we are still evaluating the options. And the moment we know about the synergies and we will be in a position to announce in the market we’ll share that with you guys.
Evan Calio: Okay. I appreciate your responses. Thanks.
Uzi Yemin: Thank you, Evan.
Operator: And you next question comes from line of Blake Fernandez with Howard Weil. Your line is now open.
Blake Fernandez: Hey, guys. Uzi, if I could just follow up on the commentary obviously you've indicated a couple times are seeing better value in the logistics side, can you help us kind of think about the way a transaction would be formed in other words would that be at the parent DK level or would you consider using DKL is just a straight acquisition vehicle?
Uzi Yemin: First of all, great question, Blake. So thank you. Obviously both options are open. It depends on valuation. Not always and I'm not telling you anything you don't know. The relationship between DLP unit holder than the GP unitholder are easy to manage, while we are wearing both hats we need to make sure we are creating value for both sides of the house. So it depends on valuation. It depends on one kind of synergies we can get and it depends on other factors. So we will leave the two options open and considerate once we decide to move forward with the deal.
Blake Fernandez: Secondly, just a little bit detail but on the tax rate, I know you give a new guidance 2Q came in well below what we were expecting. I’m just trying to understand. Has something changed structurally moving forward or is the lower guidance just kind of a function of depressed 2Q levels?
Assi Ginzburg: We do think that with the work that we've done there are a few items especially around the biodiesel tax credits that some of them flow through our tax rate. We do think that on a long-term basis we should be below what we used to be at the 35% 36%, I can't tell you right now if it's 32% or 34% but we do believe we have a few programs that works for us, that put us below the mark of the 36% as we were historically.
Blake Fernandez: All right. Thanks. Assi, the last one if you don't mind real quick, on CapEx you kind of alluded to less than 100 million on the refining side for a base and maintenance standpoint, can you give maybe just a feel for overall trends in the 2016, I know you’ve got some other pockets besides just base refinery.
Assi Ginzburg : First I'll just make a small statement. The $100 million maintenance CapEx for us was more like annualize number for all of the Company including turnaround earnings. So it was in our minds around $20 million of turnaround cost if you take the refineries and divide with the cost is by five, around $10 million in retail, $10 million overhead, $50 million other Refining and around $10 million at the top which is DK IT, accounting et cetera. So the $100 million was everything. Now when you look at 2016, we don't have a turnaround. So that $100 million immediately goes to $80 million. And then the question in our mind is how many stores we’re going to build. Right now we plan to build around 12 stores next year so that's around $35 million. And then we are working on some small project to the refinery to debottleneck some of the units that will probably going to come to the market in the next two quarters. But other than that we don't have any known CapEx in the business that we know that is [Indiscernible].
Blake Fernandez: Perfect. Thanks Assi.
Operator: And your next question comes from the line of Roger Read at Wells Fargo. Your line is open.
Roger Read: Good morning.
Uzi Yemin: Good morning, Roger.
Roger Read: Actually maybe we are officially in the afternoon. Just following up on Tyler
Uzi Yemin: Maybe we should stop for lunch and call you back.
Roger Read: Sure. Whatever works, right? Are you buying for lunch here?
Uzi Yemin: Only, if it's on map [ph]. Go ahead Roger.
Roger Read: Anyway, Fred for you. Tyler running at full capacity Q3, one of the questions is been kind of a niche refinery there, the ability to move all the products in that area without impacting margins. Can you give us an idea of what you're seeing as a way of think about the impact of that additional volume on margins?
Fred Green: Yes. This is probably maybe a better for Mark. So let him answer.
Mark Smith: Hey, Roger. Hey, we actually one day last month moved over 95,000 barrels out of Tyler of clean product. And we a long time ago before Fred decided to actually do the construction of the expansion project. We took a lot of steps on the commercial side to increase our reach beyond that local market so we acquired the terminals in Mount Pleasant and we also are able now to move barrels from Tyler to frost and get in the Magellan system and then move them up through into the Dallas market and out to meet our West Texas demand in DKL. So, we have found outlets for all these products so as Fred makes them we have found very good outlets away from Tyler to take this product to.
Roger Read: And then, in terms of margin I mean it's a transportation costs on that enough or is it sold at the rack, and whoever moves it, wherever they move it pays for it, but as long as you're capturing the margin at the unit?
Mark Smith: We're able to capture the margin and see there us as Delek Refining moving it or obviously we have the marketing deal with DKL where DKL then transported it and moves it to their markets.
Roger Read: Okay, great. And then coming back to the discussion on the North line, I wasn't sure if I the number right. But did you say -- I can't -- I think it may have been Uzi was saying as much as $15 that you saved in terms of shutting down the rail unit and the trucking on as many as 15,000 barrels or is that 15 is the highest on some of those barrels?
Fred Green: Yes Roger at 15,000 barrels on a day and kind of on average between $1 and $2 it all depends on what that mix was, but the savings is between $1 and $2 or more depending on the mix on savings obviously on savings, on transportation alone.
Roger Read: Okay. On…
Uzi Yemin: It was [Indiscernible] on around five a day of trucking and around probably six dollars on the railcars because many of the railcars arrive to El Dorado for the first six months at 8 to 10 over the WTI . So we see a lot of upside there.
Roger Read: Okay. So we should see a material impact on El Dorado margins going forward.
Uzi Yemin: We've already seen in July, even though it's only 10 days.
Roger Read: Care to tell us what that impact is? Maybe I can get that to?
Uzi Yemin: You can probably can get it from Keith. What don’t you put him on the line, don’t me – don’t do it to me.
Roger Read: Okay. Fair enough. Fair enough. And then the last question for you Uzi, as you look at the Alon transaction and obviously anywhere from the end of the standstill agreement to kind of like you said kind of open-ended. What do you need to see anything from Alon’s Management or from the Alon Board change or is it really just we should focus on market conditions in your own ability to determine what the appropriate synergies are in the transactions?
Uzi Yemin: I think the latter is more correct than the first one. Let me take that. Working with the Alon management and their board was just a pleasure. I think that were very cooperative of the -- what we're trying to do here. They are committed to create value for their shareholders. We want 48% of that. And as demonstrated with their block performance however I think that it's more around market condition and synergies within Delek.
Roger Read: All right. Great. Thank you.
Operator: Our next question comes from the line Neil Mehta with Goldman. Your line is now open.
Neil Mehta: Good afternoon, guys.
Uzi Yemin: Hi, Neil.
Neil Mehta: So I want to start off with your thoughts on the turnaround schedule from what you’re hearing in the midcontinent around your refineries as we think about the fourth quarter. How heavy or light is it this year. And then if you could dovetail that with your general on Brent WTI as we think about the balance of the year?
Uzi Yemin: Great question Neil, two question, the first one if and you keep schedule of all these turnarounds, this is going to be a heavy turnaround season. Now that heavy turnaround season will probably kick in sometimes early fourth quarter and last towards the second or the last part of the first quarter. So we feel good about that portion. Actually the fact that we are four years away from one turnaround and five years away from the second turnaround makes us feel very, very good and we missed the train this year with the heavy turnaround season. So we feel good about it. However I want to be clear. I don’t believe that $20 gasoline crack, gasoline crack should remain here as we entered the fourth quarter. And we believe that margins will be under pressure a little bit. I think the biggest risk and I think I’ve shared that with you in the past, the biggest risk is for crude or WTI prices. As we demonstrated lately in the marketplace we may see another drop in the crude price before they rebound.
Neil Mehta: Yes. Now clearly seeing in the market over the last couple of weeks, and so to that effect the move lower and Brent as we think about 3Q versus 2Q, that should have a positive tailwind for the capture, should it not any reason why it wouldn’t?
Uzi Yemin: Absolutely, let me tell that the third quarter is up for a great start. We mentioned – we often mentioned that we are entirely trying to run close to capacity. And margins are very, very good. And Assi mentioned the outmost situation that is working to our favor right now. Obviously prices of -- the absolute prices came down but outside that the third quarter is up for a great start.
Neil Mehta: Great. And last question Uzi here is on same-store sales, they were strong again in the first half of the year, maybe the fuel sales on the same store basis were less good in 2Q year-over-year than they were in 1Q, but any thoughts in terms of what you’re seeing here in the third quarter?
Uzi Yemin: I’m not shy giving you number. For to-date 4.9%.
Neil Mehta: 4.9% same store.
Uzi Yemin: Yes. I mean this third quarter.
Neil Mehta: Yes. Terrific. Thank you very much.
Operator: Your next question comes from the line of [Indiscernible]. Your line is now open.
Unidentified Analyst: Great. Thank. At El Dorado, this is maybe answered some of your other early comments, but the 2Q results there were appeared a bit late, was this strictly due to the asphalt situation or were there other factors that impacted the performance there?
Assi Ginzburg: This is Assi. Thank you for the question. $50 million was asphalt and if you look it at in a per barrel base that’s a big number. In addition to that, we purchased some ethanol at higher prices than the market price, as market came down and that’s probably was another $2 to $3 million loss at El Dorado. So when you combined those you have $80 million hit to the P&L. That’s a big number for this refinery.
Uzi Yemin: And [Indiscernible] let me just add one more factor that changed in the third quarter. We brought some railcars and trucking barrels to fill up the refinery, obviously they made money, but the marginal – these are marginal barrels were much lower that has fixed itself also with reversal of the Exxon North Line. So there are three factors that are actually going our way, that’s the reason we are optimistic about the third quarter.
Unidentified Analyst: Okay. So 3Q this should all reverse out.
Uzi Yemin: Yes.
Unidentified Analyst: Okay. And then on the second quarter tax rate, can you give us some specific details on why the rate was so low and are these factors – are there some factors seems like sustainable going forward given your guidance, any details would be helpful?
Uzi Yemin: The main reason that you see a lower tax rate, I’ll say around 5% of that is what is call prior years impact on these quarter, so be like in 2014 in July basically start building its tax team that start to be more proactive in tax planning. So I’ll say 5% out of what you seen is coming from a prior year adjustment. Then there was another around 2% to 3% impact as a result of the fact that when we get dividend from Alon we are not paying on 80% of the dividend taxes so there is 2% to 3% benefit there. All the other is probably part of the rate and that’s why we think that the old 36 is not there in place. With that being said, if we’ll go Q4 and results won’t be as good, of course the tax rates will move significantly. Overall, we set for the year that we are comfortable with 28% to 30% tax rate. When we look at next year that number probably will be somewhere around 33%, 34% so we do think there is a few percentage here that Delek has some kind of a way to report slightly lower and with that program we actually paid in cash even less than what you saw there, we put some reserves on the balance sheet. So the company weren’t active in fact and now we are doing much more.
Unidentified Analyst: Great. Thanks, obviously that’s helpful. And maybe I’ll just throw in one more question out there on ALJ. Uzi are you able to implement any opposition or synergies between the two companies at this point or do you really need to acquire all of ALJ to capture the upside there?
Uzi Yemin: I think I gave some color earlier. I’ll – it was going to – thought like I would beat myself. But the short answer we can’t, it requires conflict committee and it requires some cooperation between the two companies on just to make sure that we are protected legally. So far for until now we did not implement too much synergies on the two companies.
Unidentified Analyst: Okay, great thanks for that. I appreciate it.
Uzi Yemin: Thank you, Che [ph]
Operator: Your next question comes from the line of Paul Cheng with Barclays. Your line is open.
Paul Cheng: Hey guys.
Uzi Yemin: Good afternoon.
Paul Cheng: Good afternoon. Fred, question is there any no cause opportunity in the bottle neck in your reform [Indiscernible] or in El Dorado.
Fred Green: Paul we are looking at all four of the units. The two reformers and to our collation units to see what we can do. I think we’ve got a catalyst opportunity at El Dorado to improve throughput and yield a little bit. Tyler's probably got a little bit of room in its reformer as well. But we are looking at a larger scale revamp opportunities. We are just not in a position to be able to talk to that at this point.
Paul Cheng: When do you think that you may be in a better position to discuss that?
Fred Green: I’ll have to check the schedule, but it is possible at our next call that -- I can’t guarantee that.
Paul Cheng: And for Tyler [ph] do you have an estimate what is the contribution from the expansion and the upgrade in the second quarter?
Assi Ginzburg: This is Assi. We didn’t run the math what was the addition, but we know one thing, the commodity environment was very strong. We collected was around $18 and that’s basically how we did our economics. We finally ran at I think 7000 barrels throughput more than last year. So we didn’t achieve the increase of 12,500 increases as it took time for our marketing team basically to start to emptying up after the turnaround all the product, but we already saw towards the end of the quarter that we are selling more and more. So I think it will be better to do it in Q3 when we have all the marketing in place.
Paul Cheng: Oh then let me ask you in another way. Fred, in the second quarter after the upgrading and expansion have you seen the improvement in your light product yield or that is not reaching the kind of – that you were expecting here?
Fred Green: The refinery yield, the refinery throughputs, we tested all of those units and we’ve achieved what we were looking for.
Paul Cheng: Okay, Assi do you have a number you can share on the hedging laws and the inventory gain. How they [Audio Gap]
Assi Ginzburg: Its Asset in the market place.
Paul Cheng: Uzi, when we are looking at what TRP [ph] or that MPL have done. When we are looking at AKL do you believe that do you have the scale or that you are just near bit too much sure for DKL to adopt a similar strategy in acquisition?
Uzi Yemin: It’s pretty much sure for DKL.
Paul Cheng: Okay. And idea or any rough estimate or that you will be able to share. How big is DKL can need to reach before you believe that you are in a scale that you could perhaps pursue other M&A opportunities had by…
Uzi Yemin: Well when you say like that, this is a massive massive transaction. So I….
Paul Cheng: Not to that extent, but that something that similar nature, what I mean.
Uzi Yemin: Similar nature it depends on evaluation. And I believe it and obviously I think that MPC did a great job for their company and I salute the management for doing that. I think that for us it’s a way of taking a step at a time and as we are much smaller company and we need to be much more cautious around it. So, we proved already that we are willing to move very quickly , just recently we brought the 48% of our loan as, but it needs to be with the right evaluation and not putting the company at risk and creating tremendous amount of value for shareholders. So I’ll leave it to that without getting into specific transactions here.
Paul Cheng: Okay. Two final question for me, one of the majors in the majors in this [Indiscernible] and have put their El Dorado Refinery potentially up for some form of joint venture. The question to you is they are not necessary for their refinery but as forming a joint venture with another company in the refining have any interest for you or that in any M&A that are really just going to take over 100% and be the operator and that you say is the important criteria? And yes so…
Uzi Yemin: First of all we said it in the past that we have four criteria to buy a refining asset. Anybody can bet on cash spread, our criteria that was very well known, the crude side, the product side increasing as a production and obviously some quick hit project that we want to do. So these are the criterias. Until now, I – we didn’t view a joint venture something that we want to do because we felt that we are too small and we are – we weren’t ready for a joint venture. As we grow our business and as we become a bigger company from refining stand point that opportunity may present itself, but to date that wasn’t something that we consider or we thought that would bring value to our shareholders.
Paul Cheng: A final question. Now when you have excess cash, do you have changed your minimum requirement, how much cash position you want to stay on the balance sheet or that you want to keep given that you are still hoping at some point we’ll be able to acquire the remaining of the 52% of loan?
Uzi Yemin: Well we said in the past that $400 million is a rounded number that we want. We feel comfortable with the $400 million. Obviously if we decide to move in alone, and that number should grow just because of the fact that we want to have more drop out on the balance sheet. Now as you mentioned that earlier that we are expecting only $100 million of maintenance CapEx for the entire company in the coming quarters, so the company itself will generate cash, that will obviously bring the opportunity to retain cash to shareholders or to do something else around the M&A activity.
Paul Cheng: Okay, thank you.
Uzi Yemin: Thank you.
Operator: And your next question comes from the line of Paul Sankey with Wolfe Research. Your line is now open.
Paul Sankey: Uzi, hi all.
Uzi Yemin: Hey Paul.
Paul Sankey: I don’t know if this is a dumb possibly a dumb and unanswerable question. I was just wondering if you can merge Delek with Alon?
Uzi Yemin: You need to explain what do you mean merge Delek with Alon
Paul Sankey: Just merge the two companies as the merger of equals
Uzi Yemin: Well obviously if you do merger of equals that’s basically you give them your own share for the five that is at the market at that time and get their share for that thing. Obviously that’s a possibility. Evaluation should be right and both companies should agree to that. But it is a possibility to do merger of equal.
Paul Sankey: Yes I guess I just haven’t heard you mention it and I wasn’t sure of this, it was the profitability and on our [Indiscernible]…
Uzi Yemin: Presently a possibility.
Paul Sankey: You better speak to the Chairman of Alon I guess. That’s a joke Uzi. You are the Chairman of Alon, right.
Uzi Yemin: You can nominate yourself, I’ll vote for you.
Paul Sankey: Great. I want to try that with Exxon and they said they will just with their lawyers immediately. You haven’t said much about hedging, is there anything to say there?
Uzi Yemin: Hedging last year was the Europe hedging, this year it’s probably not the Europe hedging, I’ll tell you why. We are flat for the year probably lost so far $7 million or pretty flat. The main reason for that is that while we did great in some areas there is one area that doesn’t present the opportunity anymore that vital area, but it collapsed in the market that used to be in big acquisition became almost or flat or contango market. That doesn’t present too much opportunity. It doesn’t mean that from time to time we don’t tap our fingers into the market as we feel that’s an opportunity but at this point we shouldn’t expect big things out of it as the market structure changed.
Paul Sankey: Yes, got it. And you mentioned one thing about the MPs [ph] which is notable which is the – they are really looking to sell an opiable [ph] assets. I think that’s what I heard you saying right.
Uzi Yemin: Yes I did say that.
Paul Sankey: Is there any other behavioral changes that you are seeing in the EMP space given your perspective on what these guys are doing and obviously I’m thinking about rigs dropping all the changes but maybe there in if you could also just as part of that reference the premium of Midland which I think you’ve partly done, but a little bit the extent at which those are problems to you. And finally as a clarification, you said earlier, you thought it would settle at $2 to $3 I assume you mean $2 to $3 Midland on the TI?
Uzi Yemin: Yes.
Paul Sankey: It wasn’t clear.
Uzi Yemin: So let me answer it one by one. First of all, we do see our production growth slowing down. You see it as well as I – as we de our Midland is actually – there is much more or say capacity versus what it used to be, that’s the reason we don’t believe, I don’t believe that we will see the $10 or $8 differential anymore in the foreseen future. I think that the Midland or any American producer is dealing with countries now. Now also it’s hard to predict what these countries do. But short term I think that these producers will be under pressure long term I think it is to the benefit of everybody to cut production. However, and I want to be clear about that. I think that long term crude prices or the absolute price of WTI brand is on the downtrend and not on the uprising because of all that capacity that can be restarted very quickly. Specifically to us we are one of the reasons why we moved on the cushion side, is because we want to make sure that we can specify our crude source versus what it used to be in the past. But I do believe that EMP companies would continue to be under pressure for the next 18 to 24 months and I think that will bring opportunity as I mentioned on the logistics assets.
Paul Sankey: Yes once concern just final from me regarding the market is the gasoline season is obviously been very strong. I think you’ve addressed gasoline demand, I might have missed it, just the old question about what you are seeing through your stores, but at the same time these three markets were quite weak. Are you concerned going into winter that we may get into an oversupply situation, I was surprised that you said you thought that we have heavy turnaround season I hadn’t heard all of this say, maybe it wouldn’t be so heavy.
Uzi Yemin: Well I want to clarify that heavy, that statement. One to ten I would call it six or seven ten being behavior. So I wouldn’t call it ten, but it’s quite busy. However, I do believe like you are that gasoline will be under pressure in the fourth quarter and prices will come down, nobody should expect $20 cut that will not happen.
Paul Sankey: You got here on record.
Uzi Yemin: Well you can hold me to that. Very well, anything else there Paul.
Paul Sankey: I feel there was another part to that question, but I’ve forgotten it myself. So I’ll leave it there. Thank you
Uzi Yemin: Thanks.
Operator: Our last question comes from Ed Westlake at Credit Suisse. Your line is now open.
Unidentified Analyst: Hi, it’s [Indiscernible] here. I’m standing in for Ed apologies for the subterfuge a little bit. Quick question. I think a lot of it has been covered and I don’t want to beat a dead horse, but I mean go back to ALJ for a second and I know you can’t get into the synergies per say of what you think in terms of value and it’s something that we’ve all looked at from the outside. But I am a little bit curious as to how you view different assets on or higher may be possibly more strategic level particularly not talking to big spring or [Indiscernible] but the assets which are outside of the core refining so the asphalt business may have or possibly the rail and the Bakersfield terminal out in California. So is there anything you could tell us about the way you think about those assets and how they may fit in ultimately or what sort of framework you used to appraise something like that?
Uzi Yemin: Well obviously these are questions that are specific to our loan. And unfortunately they need to be presented to our loan management team which I’m sure they will be happy to answer this questions. So if you ask us about, talk about our loan….I’m sorry go ahead.
Unidentified Analyst: Sorry it’s more – just more from the standpoint for perspective acquirer or rather than from a business.
Uzi Yemin: I’m sure that our legal department will tell us to stay away from that question just because of the simple fact that that’s not a shareholder discussion that’s up to management to make a decision what to do with these assets.
Unidentified Analyst: Okay. Thank you, then.
Uzi Yemin: Okay.
Operator: And there are no further questions. I will return the call now to the presenters.
Uzi Yemin: Well I’d like to thank each one of you for your great questions today. I like to thank management around the table and our board of directors for the great support that they give to this company, but most I’d like to thank each one of the employees that make this company what it is. Thank you for your support and we’ll talk to you soon.
Operator: This concludes today’s conference call. You may now disconnect.